Joe Spain: Thank you, and good afternoon, everyone. My name is Joe Spain and I am the Chief Financial Officer for Intellinetics, Inc. I'm Pleased to Welcome You to our 2022 First Quarter Conference Call. Before we begin, I would like to remind listeners that during this conference call comments that we make may include forward-looking statements regarding Intellinetics, Inc that are not historical facts. These forward-looking statements are based on the current expectations and beliefs of management, and they are subject to risks and uncertainties that could cause such statements to differ materially from actual future events or results, we undertake no duty to update any forward-looking statements. For more information about factors that may cause actual results to differ materially from forward-looking statements, please refer to the press release we issued today, as well as risks and uncertainties including the section under the caption Risk Factors and Management's Discussion Analysis of Financial Condition and Results of Operations in our annual report on Form 10-K, filed March 24, 2022, and other risks and uncertainties discussed in our Form 10-Q filed today. Also, please note that on the call today, we will discuss adjusted EBITDA and total contract value non-GAAP financial measures, when discussing the company's financial performance, we described total contract value and provided reconciliation of adjusted EBITDA to our GAAP financials in our earnings release. Our earnings release, including the non-GAAP measure reconciliation, is available on our website at Intellinetics. com/company -news. I would now like to turn the call over to Jim DeSocio, our President and CEO.
Jim Desocio: Thank you, Joe, and good afternoon, everyone. We achieved our goal in the first quarter of improved revenue numbers from Q1 of 2021 to Q1 of 2022 despite the headwinds we faced from Omicron lingering in a tight labor market. I'm especially pleased with our SaaS revenue growth of 33% over Q1 of 2021. As I mentioned in the last call, we've invested in expanding our marketing efforts and have added to our sales team. We're coming out of Q1 2022 with more sales headcount than we had last year. Our website consolidation and enhancements are paying off with increase leads from our new SCO strategy. This has resulted in a large increase in both our 90 to 120-day pipeline, and our contracts one. At the time of this call last year, 2021, year-to-date, we had closed a 131 contracts with an estimated total contract value of approximately $2.6 million. For this year, 2022, year-to-date, we closed a 154 contracts up 18% with an estimated total contract value of $3.9 million up a 150%. These orders are generally recognizable in revenue over one year or less, including last month, we closed the largest order in the history of the company for $1.8 million. Our wins or in our direct. And partner channels. In fact, our leading Europe partner Software Unlimited, has just this month reached a milestone of 150 orders with us. All together Software Unlimited channel customers generate $340,000 in annual recurring revenue. None of these results and initiatives I mentioned accrued our recent acquisition of Yellow Folder, which occurred April 1st, 2022. Yellow Folder's unaudited 2021 results included about $2.8 million in revenue, all recurring, and 100% of the k-12 mark. When adding Yellow Folder's 240 K-12 customers to our existing 260 K-12 customers, our footprint of 500 customers in this -- in this market becomes even more meaningful and exciting. Additionally, nearly 95% of the also It was revenues are SaaS, which on an unaudited pro forma basis for 2021, more than doubles, our SaaS revenues, bringing SaaS to 29% of total revenues compared to 13% without Yellow Folder. Not only does this acquisition bruins more SaaS revenue, but also enhances our EBITDA with high-margin business and provides opportunity for more revenue via cross-selling opportunities. In fact, in Western 30 days, we already have our first cross-selling order totaling $139,000. We're helping our Yellow Folder customer with their digital transformation through our Document Conversion segment, which show Yellow Folder previously outsourced. Joe will review the details on our Consolidated Statement of Operations for 2022 next. But right now I'm going to discuss our non-GAAP measure of adjusted EBITDA. In the first quarter of 2022, we reported adjusted EBITDA of $421,000, up 18% from Q1 2021. This marks the ninth consecutive positive quarter, and seventh consecutive quarter exceeding $300,000. This stability underscores my past comments about successful integration of our acquisitions in early 2020. Operationally, the team continues to deliver on the acquisition synergies. Our investments in sales and marketing, our disciplined M&A approach, and our focus on integration and cross-selling opportunities, all provided continued positive momentum. I am satisfied with our Q1 revenue results given the conditions we faced, and I am very pleased with the adjusted EBITDA and cash flow we generated. Our strong sales activity in lead generation bode very well for our future. This gives me the confidence that we are on the right course. I am very bullish on the future. At this time, I would like to turn the call over to our Chief Financial Officer, Joe Spain to talk about our financials. Joe.
Joe Spain: Thanks, Jim. I will now review our financial results for the first quarter, 2022. For the revenue for the quarter ended March 31, 2022 increased 3% to $2.7 million as compared to $2.6 million for the same period last year. The following are the various components of revenue in the order presented on our statements of operations. Software revenue, which is comprised of perpetual license revenue, increased 572% for the quarter to $64,000 from $10,000 for the same period last year. The ongoing industry shift towards cloud solutions in lieu of on-premise solutions makes this small component of our overall revenue increasingly inconsistent and can make comparisons swing significantly as with this quarter.  Recurring revenue, which is comprised of SaaS, including hosting revenue and software maintenance services revenue, increased 16% to 768,000 for the quarter from 664,000 for the same period last year. Within this category of recurring revenue, SaaS is growing more rapidly than software maintenance services at 33% versus minus 1% as expected given the continued shift toward cloud solutions. The slight decrease in software maintenance can be attributed to customers migrating from our on-premise solution to our cloud solution, which shifts the revenue from maintenance to SaaS. And in every migration case for Q1 resulted in higher overall revenues. Professional services revenue decreased 4% to 1.6 million for the quarter from 1.7 million for the same period last year. As a percentage of total revenue, professional services revenue decreased to 59% of total revenue for the quarter, compared to 63% of total revenue for the same period last year. The decrease is driven by Cogut on Macron absences at our graphic sciences subsidiary and also certain customers, including state agencies temporarily slowing demand as Omicron surged. Storage and retrieval services revenue decreased 8% to $283,000 for the first quarter of 2022 compared to $309 thousand for the first quarter of 2021. The decrease of $26 thousand is due to significant one-time shredding projects in 2021, creating an unfavorable comparison. The decrease is not driven by recurring box storage business, which remains strong. Gross margin was relatively flat at 60% for Q1 this year compared to 61% last year. The decrease was driven by lower margin projects in our document conversion segment compared to the prior year. Pasta revenue increased 4% or $41000 following our revenue is to a total of 41.1 million for the quarter compared to $1.0 million for the same period in 2021. Operating expenses increased to $1.54 million for the quarter ended March 31, FY22, compared to $1.49 million for the same period in 2021. The most significant driver of the increase of $45,000 was a difference in expense due to transaction costs of $70,000 incurred in advance of our acquisition of Yellow Folder. In our statement of operations, we showed these transaction costs on a separate line. We also carve out the change in fair value of earn-outs, which for Q1 was relatively consistent with last year. Note that in our adjusted EBITDA calculation discussed later, we exclude both the transaction costs which we deem to be one-time costs, and the expense for the change in the fair value of earn-outs. Excluding those expenses, our operating expenses decreased quarter-over-quarter by 1%, which was the net of a decrease in general and admin costs more than offsetting expanded sales and marketing expenses in 2022. Sales and marketing expenses increased 21% compared to the same period in 2021. This increase reflects the investments in marketing and sales, which Jim mentioned earlier. Interest expense for the quarter was $113,000, the same as last year. Interest expense is consistent as expected, given no changes in our debt quarter-over-quarter. Our private offering occurred on April 1, 2022, and will be reflected in our Q2 reporting. Net loss for Q1 was $20,000 compared to $843,000 net income for the same period last year.  The factors affecting the comparison include the $70,000 in transaction costs in 2022 and not 2021, and the $845,000 PPP forgiveness in 2021 and not 2022. Both of these factors are accounted for in our adjusted EBITDA and non-GAAP measure. Our adjusted EBITDA for the quarter was $421,000 or $0.15 per basic share and $0.14 per diluted share compared to adjusted EBITDA of $356,000 or $0.13 per basic share and $0.11 per diluted share for the same period in 2021. Next, I'd like to turn to review of Intellinetics balance sheet. At March 31st, 2022, the company -- cash of $2.2 million in accounts receivable net of $0.9 million. Our total assets were $12 million and total liabilities were $9.3 million, including $2 million in debt principal on the balance sheet as of March 31, 2022. As mentioned earlier, and in prior press releases in 8-K filings, we closed on our private offering on April 1, 2022, where we added $3 million in debt due in 2025 as part of our total raise of $8.7 million. I want to wrap up with a brief financial outlook. Based on our current plans and assumptions, and subject to risk and uncertainties we described in our filings and this call, we expect to continue to grow our revenues and adjusted EBITDA With that, we thank you all for listening. And at this time, we'd like to open up the call to Q&A. If you'd like, please unmute. Thank you.
Q - Unidentified Analyst: Hi, guys. This is Harrison Howard.
Jim Desocio: Hi, Harry. How are you?
Unidentified Analyst: Okay. Congratulations. Great quarter. And I would like know if you're seeing the signs that the headwinds from Michigan are starting to abate and we can start to see, you know, the first quarter is really the lowest quarter in the revenue for the year.
Jim Desocio: Yes, the first quarter will definitely be the low point for the year, Howard. And it is starting to abate. Although we heard that they're slowly opening up the state a couple of days a week as from what we're finding out from our contacts. So they're not fully planning to open, which is what's happening all over the country, quite honestly. So we continue to work with the state. Our large contract was through the state, so things are certainly improving.
Unidentified Analyst: Okay. And in terms of the acquisition with the Yellow Folder, how is the integration going? You've mentioned that you had the one cross-selling deal. Are you seeing warrant the pipeline? And how does sales force suggest integrating and matching up with your expectations?
Jim Desocio: We're all 30 days in. We've had a lot going on with closing the year, closing the quarter. We are having a three-day strategy session with the entire management team and the Yellow Folder management team first week in June. But so far there's been no surprises. It's been in my opinion, a great acquisition based on other multiple I've seen out there for buying cure SaaS companies. So, so far so good. We've already started to build the joined pipeline. We're starting to doing some campaigns into the Yellow Folder customer base. So it's all just getting started, again, we're only 30 days in. But great opportunities for us, that's for sure.
Unidentified Analyst: Okay. Well, are you seeing any salary pressures for new hires or are you able to keep that on the controls?
Jim Desocio: So far we've been able to keep it under control, although it is a little slower with the hiring at this point, obviously again, something the entire country is experiencing. But we have not,-- we've raised salaries last year, but we have not had to do it recently for any new hires.
Unidentified Analyst: Okay. Well, thanks and keep up the great work.
Jim Desocio: Appreciate it, Howard, appreciate it. It's been going very well for us. Are there any other questions?
Joe Spain: Howard, if you're done, if you wouldn't mind muting.
Jim Desocio: As I said, Joe and I are both very bullish on the company, a lot of good things, our pipeline is stronger than it's ever been. We're excited about the future and we appreciate the continued support of our long time shareholders, and our goal is to attract new investors as well by delivering ongoing, continued results. We're going to continue building our business model, which in turn builds shareholder value. Thank you for joining us today, and we look forward to speaking again on our next conference call. Thank you, everybody. Have a great day.
Joe Spain: Goodbye.
Unidentified Analyst: Goodbye.